Operator: Ladies and gentlemen, thank you for standing by. And welcome to The TJX Companies Third Quarter Fiscal 2024 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded as of today November 15, 2023. I would now like to turn the conference over to Mr. Ernie Herrman, Chief Executive Officer and President of The TJX Companies Incorporated. Please go ahead, sir.
Ernie Herrman: Thanks, Ivy. Before we begin, Deb has some opening comments.
Debra McConnell: Thank you, Ernie, and good morning. The forward-looking statements we make today about the Company’s results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the Company’s plans to vary materially. These risks are discussed in the Company’s SEC filings, including, without limitation, the Form 10-K filed March 29, 2023. Further, these comments and the Q&A that follows are copyrighted today by The TJX Companies, Inc. Any recording, retransmission, reproduction or other use of the same for profit or otherwise without prior consent of TJX is prohibited and a violation of United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. We have detailed the impact of foreign exchange on our consolidated results and our international divisions in today’s press release and the Investors section of our website, TJX.com. Reconciliations of other non-GAAP measures we discuss today to GAAP measures are also posted on our website, TJX.com, in the Investors section. Thank you. And now I’ll turn it back over to Ernie.
Ernie Herrman: Good morning. Joining me and Deb on the call is John. I want to start by recognizing our global associates for their continued hard work and dedication to TJX. Again, I want to give special recognition to our store, distribution, and fulfillment center associates for the commitment to our company. Now, to our business update and third quarter results. I am extremely pleased with our third quarter performance as sales, profitability, and earnings per share all exceeded our expectations. Our 6% overall comp sales increase was entirely driven by customer traffic, which was up at all of our divisions. Marmaxx, our largest division, continued its strong momentum by once again delivering terrific increases in both comp sales and customer traffic. In the third quarter, our apparel sales remained very strong and sales for overall home were outstanding, accelerating sequentially versus the second quarter, particularly at HomeGoods. We also saw comp sales and traffic increases at our Canadian and International divisions. Importantly, overall merchandise margin remains very healthy. Our excellent third quarter results are a testament to the strong execution of our teams across the Company and their continued focus on growing both, our top and bottom lines. With our above-plan results in the third quarter, we are raising our full year outlook for comp sales and earnings per share. John will talk to this in a moment. The fourth quarter is off to a strong start and we continue to see outstanding availability of merchandise across a wide range of brands in the marketplace. This gives us great confidence that we can keep flowing a fresh assortment to our stores and online throughout the holiday season and beyond. Longer term, I am convinced that the flexibility of our business model, our wide demographic reach and our differentiated treasure hunt shopping experience will continue to serve us well and allow us to keep growing successfully in the United States and internationally. Okay. Before I continue, I’ll turn the call over to John to cover our third quarter financial results in more detail.
John Klinger : Thanks, Ernie, and good morning, everyone. I also want to add my gratitude to all of our global associates for their continued hard work. I’ll start with some additional details on the third quarter. As Ernie mentioned, our overall comp store sales increased 6%, well above the high-end of our plan and were entirely driven by an increase in customer traffic. We saw continued momentum with our apparel comp sales, which includes accessories with a mid-single-digit increase. Overall, home comp sales accelerated and were up high single digits. TJX net sales grew to $13.3 billion, a 9% increase versus the third quarter of fiscal ‘23. The third quarter consolidated pre-tax margin of 12% was up 80 basis points versus last year. Our pre-tax profit margin came in above our plan, primarily due to expense leverage on our stronger than expected sales and a benefit of approximately 40 basis points from the timing of expenses. As we stated in our press release this morning, we expect this benefit from the timing of expenses will reverse out in the fourth quarter. Third quarter pre-tax profit margin was negatively impacted by approximately 30 basis points of cost from the closing of our HomeGoods online business which was not contemplated in our previous guidance. All the costs associated with the closing of our HomeGoods’ e-commerce business are reflected in our Q3 results, and there are no further write-downs expected going forward. Third quarter gross margin was up 200 basis points versus last year. This increase was driven by a higher merchandise margin due to the significant benefit from lower freight costs. Gross margin also benefited from expense leverage on the 6% comp sales increase. Supply chain investments and our year-over-year shrink accrual were headwinds to gross margin in the third quarter. Third quarter SG&A increased 140 basis points, primarily due to incremental store wage and payroll costs, higher incentive accruals due to above-plan results and approximately 30 basis points of cost related to the closing of our HomeGoods online business. Net interest income benefited pre-tax profit margin by 30 basis points versus last year. Lastly, we were very pleased that diluted earnings per share of $1.03 were also above our expectations and up 20% versus last year’s adjusted $0.86. This includes an approximately $0.03 negative impact due to the closing of our HomeGoods online business which was not contemplated in our previous guidance. This also includes approximately $0.03 of unplanned benefit from the timing of expenses that we expect will reverse out in the fourth quarter. Moving to our third quarter divisional performance. At Marmaxx third quarter comp store sales increased a very strong 7% entirely driven by customer traffic. Marmaxx’s apparel and home categories both saw significant comp sales increases. Further, comp sales increases were very consistent across low, mid, and high income demographic areas and was strong across all regions. Marmaxx’s third quarter segment profit margin was 14%, up 50 basis points versus last year. This was driven by a benefit from lower freight costs as well as expense leverage on the strong sales, partially offset by incremental store wage and payroll costs and higher incentive accruals. We are convinced that T.J. Maxx and Marshalls will continue to be gift giving destinations this holiday season. Long-term, we remain confident in our ability to capture additional market share in the U.S. At HomeGoods, third quarter comp store sales accelerated to an outstanding 9% increase, entirely driven by customer traffic. Comp performance was very strong across each region in the U.S. and across stores in different income demographic areas. We were very pleased to see HomeGoods third quarter segment profit margin return to double-digits, increasing 140 basis points to 10.3%. This increase was due to a benefit from lower freight costs and expense leverage on stronger sales, partially offset by costs related to closing our HomeGoods online business. With more than 900 stores today, we continue to see a significant opportunity to open up more HomeGoods and Homesense stores around the country. We’re excited about our market share opportunities and bringing our eclectic home assortment and great values to even more shoppers. At TJX Canada, comp store sales growth was 3% and was also driven by an increase in customer traffic. Segment profit margin on a constant currency basis was 17%, up 120 basis points. We have a very loyal shopper base in Canada and are convinced that we can capture additional market share through all three of our Canadian banners. At TJX International, comp store sales were up 1% and customer traffic was up. Comp sales and traffic increased in both Europe and Australia. In Europe, we were pleased with our performance given the high inflation impacting customer discretionary spend in the unseasonably warm weather. Segment profit margin for TJX International on a constant currency basis was 5.3%, down 140 basis points. We are confident that we can keep growing our footprint across our existing European countries in Australia and improve the overall profitability of this division. As to e-commerce, overall, it’s a very small percentage of our business and remains complementary to our very successful brick-and-mortar business. As to homegoods.com online business, when we looked at our long-term projections, we did not see a path to profitability over the long term like we do for our other banners. In terms of our other e-commerce sites, we were very pleased with their sales trends in the third quarter. Moving to inventory. Balance sheet inventory was essentially flat versus the third quarter of fiscal ‘23. We feel great about our inventory levels and the outstanding availability in the marketplace. We are very -- we are well positioned to flow fresh assortments to our stores and online this holiday season. I’ll finish with our liquidity and shareholder distributions. For the third quarter, we generated $1.2 billion in operating cash flow and ended the quarter with $4.3 billion in cash. In the third quarter, we returned $1 billion to shareholders through our buyback and dividend programs. Now, I’ll turn it back to Ernie.
Ernie Herrman: All right. Thanks, John. Now, I’d like to highlight the key opportunities we see to keep driving sales and traffic in the fourth quarter. First, as always, offering outstanding value is our top priority for the holiday selling season, especially in an environment where consumers’ wallets are stretched. The marketplace continues to be loaded with quality merchandise and we are set up extremely well to offer a wide range of good, better and best brands to consumers. Second, we believe our strongly positioned -- we are strongly positioned to be a top destination for gifts this holiday season. Our buyers have done a terrific job selecting the best merchandise available for our global vendor base to surprise -- from our global vendor base, to surprise and excite our customers. We are confident that shoppers will find an eclectic assortment of guests to choose from for everyone on their list. In addition, we will remain focused on being a gifting destination throughout the year. Next, we will be following fresh product to our stores and online multiple times a week throughout the holiday season, which we believe differentiates us from many other major retailers. With our ever-changing mix of merchandise, shoppers can see something new every time they visit. Further, we feel great about our plans to transition our stores post-holiday and offer consumers the categories and trends they want to start the year. Lastly, we feel great about our holiday marketing campaigns across all of our brands, which launched earlier this month. Each of our brands are emphasizing our value leadership and our great assortment of quality gifts for the whole family. We believe we are set up very well to be top of mind for consumers and drive shoppers to our stores this holiday season. Additionally, we feel great about our in-store shopping experience as our customer satisfaction scores remain very strong. Moving on, I’d like to spend a moment and list off the key characteristics of TJX that give us confidence that we can continue our successful growth around the world for many years to come. First, we are the largest brick-and-mortar off-price retailer in the world. We leverage our global infrastructure and share best practices across all of our divisions so that we can deliver the best merchandise values and shopping experience to our customers. Second, we have one of the most flexible business models in retail. This allows us to buy close to need and quickly adjust our store assortment to meet changing consumer preferences and offer the hottest trends. Third, we successfully operate stores across a very wide demographic and we curate our store mix to appeal to shoppers across all income demographics. Importantly, we continue to attract an outsized number of Gen Z and millennial shoppers to our stores, which we believe bodes well for the future. Next, we source from an ever-changing universe of approximately 21,000 vendors in more than 100 countries. As a growing retailer with almost 5,000 stores, we believe many vendors want to work with TJX because we offer them a very attractive way to grow their business. All of this gives us great confidence that there will be plenty of quality branded merchandise available for us. Fifth, we believe our best-in-class buying organization is a tremendous advantage. Many of our more than 1,300 buyers have multiple decades of off-price buying experience, which we believe has allowed us to establish some of the best mutually beneficial vendor relationships and all of retail. Next, we continue to have a significant opportunity to grow our global store base. Long term, we see the potential to open an additional 1,300-plus stores with just our current banners in just our current countries. Lastly, but most important is our talent. Throughout TJX, our management teams have deep decades-long off-price expertise in the U.S. and internationally, which we believe is unmatched. Additionally, we are laser-focused on teaching and training to develop the next generation of leaders for our company. Finally, I am so proud of our culture, which I believe is a major differentiator and another key component of our success. We believe that the combination of all these characteristics is why we have such a long history of successful growth in many types of economic and retail environments. We are convinced that these aspects of our business are a tremendous advantage and will allow us to continue offering shoppers inspiring merchandise, outstanding value, and an exciting treasure hunt shopping experience every day. Turning to corporate responsibility. I am pleased to share with you that we recently published our 2023 Global Corporate Responsibility Report. The report summarizes our fiscal 2023 initiatives and progress within the four areas we focus on: workplace, communities, environmental sustainability, and responsible business. We are proud to continue to make progress in our programs and initiatives, and we aim to provide our stakeholders with relevant information through our report and website. I’m grateful to our teams around the globe for the work that they do to support our global priorities. As always, we invite you to visit tjx.com to read our full report and our updates throughout the year. Summing up, we were very pleased to deliver another quarter of strong sales and profitability. The fourth quarter is off to a strong start, and we are excited about the initiatives we have planned to drive sales and traffic this holiday season. Going forward, I want to assure you that we are laser-focused on further improving the profitability of TJX over the long term. Further, I am convinced that the key characteristics of our business have set us up extremely well to take advantage of the market share opportunities we see ahead in the United States and internationally. Now, I’ll turn the call back to John to cover our fourth quarter and full year guidance, and then we’ll go on to open it up for questions.
John Klinger: Thanks again, Ernie. Before I start, I want to remind you that our fiscal ‘24 calendar includes an extra week in the fourth quarter. Now, starting with our fourth quarter guidance. We will continue to expect overall comp store sales growth to be up 3% to 4%. As a reminder, our comp guidance for the fourth quarter excludes our expected sales from the extra week in the quarter. For the fourth quarter, we expect consolidated sales to be in the range of $15.9 billion to $16.1 billion, which includes approximately $800 million of revenue expected from the extra week. We now expect fourth quarter pretax profit margin to be in the range of 10.4% to 10.6%. Excluding an expected benefit of approximately 40 basis points from the extra week, we expect adjusted pretax profit margin to be in the range of 10.0% to 10.2%. On a 13-week basis, this would represent an increase of 80 to 100 basis points versus last year’s pretax profit margin of 9.2%. The decrease in the fourth quarter pretax profit margin guidance is due to the expected reversal of the approximately 40 basis-point benefit we saw in the third quarter from the timing of expenses. Next, we expect fourth quarter gross margin on a 13-week basis to be in the range of 28.2% to 28.4%, up 210 to 230 basis points versus last year. We’re planning a significant benefit from lower freight costs as well as a benefit from our year-over-year shrink accrual, partially offset by headwinds from our ongoing supply chain investments. On a 13-week basis, we’re planning fourth quarter SG&A to be approximately 18.5%, up 150 basis points versus last year. This expected increase is primarily driven by incremental store wage and payroll costs and higher incentive accruals. For modeling purposes, we’re currently assuming a fourth quarter tax rate of 26%, net interest income on a 13-week basis of about $49 million, and a weighted average share count of approximately 1.15 billion shares. As a result of these assumptions, we now expect fourth quarter earnings per share to be in the range of $1.07 to $1.10. Excluding an expected benefit of approximately $0.10 from the extra week, we expect fourth quarter adjusted earnings per share to be in the range of $0.97 to $1. On a 13-week basis, this will represent an increase of 9% to 12% versus last year’s earnings per share of $0.89. I want to be clear that our assumptions for comp sales, pretax profit margin and earnings per share for the fourth quarter are unchanged versus our previous guidance. The decrease in the fourth quarter pretax profit margin and earnings per share guidance is due to the expected reversal of the approximately 40 basis points and $0.03 benefit from the timing of expenses that we saw in the third quarter. Now, to the full year. We are now expecting overall comp store sales increase of 4% to 5%. As a reminder, our comp guidance excludes our expected sales from the 53rd week. For the full year, we now expect consolidated sales to be in the range of $53.7 million to $53.9 billion, which includes approximately $800 million of revenue expected from the 53rd week. We expect full year pretax profit margin to be approximately 10.8%. Excluding an expected benefit of approximately 10 basis points from the 53rd week, we expect adjusted pretax profit margin to be approximately 10.7%. On a 52-week basis, this would represent an increase of 100 basis points versus fiscal ‘23 pretax profit margin of 9.7%. Regarding shrink, our indicators are still leading us to believe that we can continue to plan shrink flat for fiscal ‘24. As a reminder, we will not know the full effect of our shrink initiatives or the accuracy of our indicators until we do a full annual inventory count in January. Moving to full year adjusted gross margin on a 52-week basis, we now expect it to be approximately 29.6%, a 200 basis-point increase versus last year. We expect virtually all of this increase to be driven by a benefit from lower freight costs. This guidance also assumes a continuation of headwinds from our supply chain investments. We are very pleased with the level of freight recapture we’ve seen so far this year and remain focused on looking for ways to reduce our freight costs going forward. For the full year, adjusted SG&A on a 52-week basis, we are now expecting it to be approximately 19.2%, a 130 basis-point increase versus last year. This expected increase is primarily driven by incremental store wage and payroll costs, and higher incentive accruals. For modeling purposes, we’re currently assuming a full year tax rate of 25.7%, net interest income on a 52-week basis of about $165 million, and a weighted average share count of approximately 1.16 billion shares. As a result of our above planned third quarter earnings performance, we are increasing our full year earnings per share guidance to a range of $3.71 to $3.74. Excluding an expected benefit of approximately $0.10 from the 53rd week, we expect adjusted earnings per share to be in the range of $3.61 to $3.64. On a 52-week basis, this would represent an increase of 16% to 17% versus fiscal ‘23’s adjusted earnings per share of $3.11. It’s important to understand that we did not flow through the entire third quarter earnings per share beat to the fourth quarter because of the $0.03 of costs related to closing of the e-commerce business. In closing, I want to reiterate that we are very pleased with the execution of our teams across the company in the third quarter and are confident in our plans for the fourth quarter. Long term, I want to reiterate that we will not be complacent when it comes to looking at ways to improve our profitability. We have a very strong balance sheet and are in an excellent financial position to invest in the growth of our business and simultaneously return significant cash to our shareholders. Now, we are happy to take your questions. As we do every quarter, we’re going to ask that you please limit your questions to one per person, so we can keep the call on schedule and answer as many questions as we can. Thanks. And now, we’ll open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Lorraine from Bank of America. Please go ahead.
Lorraine Hutchinson: Your gross margins are now trending nicely above pre-COVID levels. You just said you won’t be complacent about finding opportunities for margin expansion. So, can you talk about the two or three factors that you’re most excited about to expand your gross margin in the coming years?
John Klinger: Yes. I mean, the top thing is continuing to drive our top line sales is important. And where we see opportunities as other retailers increase their average retails, we can hold our 20% to 60% value gap and raise ours as well.
Ernie Herrman: Yes. Lorraine, it’s obviously top of mind for all of our merchant teams in terms of how we’re retailing the goods and managing our inventory flow. And like anything else, those teams have -- just continuing to get better and better in terms of how we flow the merchandise. And one reason our merchandise has been a healthy margin year-to-date and last year is not only because of the way we bought it. It’s also the way our planning and allocation teams have flowed the goods, which has helped with our sales, of course, having the right goods in the right stores at the right time, but also in the way we float it. We have saved markdowns appropriately in categories. So we’re very bullish on that. I think, the -- we mean more to the vendors today than ever before. And I think that’s another facet of why we’re very bullish on where our merchandise margins can go. And I think John, when he’s mentioning that, you’re ultimately talking about market share with store closures, et cetera. But even if those fall off, we’re not anticipating stores close at the same rate. We still have a base now of customers and a value umbrella, which I think what John was talking about is, we are positioned with tremendous opportunities to still show our 20% to 60% off and still retail goods advantageously, I would say, and then still buy better with all of the availability that’s out there. So multiple factors going on. All going back to why I would say we are always happy to see a seasoned buying team like we have with such consistency and tenure over the years, this is what allows you to sleep at night and know you’re going to take advantage of those opportunities with the vendor community.
Operator: Next, we’ll go to the line of Paul from Citigroup. Please go ahead.
Paul Lejuez: Just a little bit more on gross margin. Curious on freight if you got back all of what you lost in 3Q last year, was it even more than that? And where is the upside coming from within the freight line? And I’m also curious, can you talk about the pure merch margin excluding freight, just considering your average unit cost and average unit retail? Thanks.
John Klinger: Yes. So on freight, so compared to FY20, we lost 300 basis points, and so we’ve gotten back about two-thirds of that. We’ve done it through -- obviously, the rates that we’ve negotiated, have been favorable. And we had some benefit from our year-over-year accrual, but we’re also implementing a lot of initiatives to try to be as efficient as we can in our freight. So, some of those initiatives are how we move the merchandise from ports to our DCs, from the DCs to stores. So, that’s where we’ve seen a lot of benefit as well. Going forward, so there’s a bit of stickiness in the freight costs. As we’ve seen this year, there was a rail strike. So, wages went up on rail salaries, truck driver salaries have gone up. So, there’s a bit of stickiness in the domestic freight, which is the lion’s share of our freight rate. So, we don’t believe at this point now that we’ll get back all of the freight, but we’ll continue to look at ways to be as efficient as we can on the freight rate going forward. And just to remind you, a lot of the freight benefit that we’re seeing this year has been a pull forward of what we expected to see in FY25. So, we’re seeing a lion’s share of that coming in FY24. And so, for FY25, again, it’s about looking for ways to be more efficient with initiatives internally.
Paul Lejuez: Thanks, John. And the pure merch margin and FX rate?
John Klinger: So the underlying merch margin, so Marmaxx was up. We did see a bit of headwind in FX rates for Canada and Europe. But we’re seeing a benefit in the Marmaxx division.
Ernie Herrman: Yes, Paul. And I’ll jump in there as well. I’ll tell you another place where I think we have an advantage on merchandise margin going forward is in our home business. So our home business, as you can tell from these results, which we are very bullish on, we feel is going to be very contrarian to the marketplace and much healthier than the marketplace. And with that, based on the momentum that we’ve seen -- you could see it improving every quarter. John and I have talked about it every quarter. And then coming out of this quarter with a 9 comp and HomeGoods is just way above the market. But our Marmaxx home business is very healthy. And our other home business and the other divisions have improved as well. That is an area where we think there’s specifically a margin opportunity because some of our margin is on the mix of departments within TJX. And as home now going forward over the next couple of years, we’re anticipating that to kind of grow in percent of total for us. I think that’s going to help our merchandise margin in total TJX. So, just that’s why that’s another bright spot in terms of merchandise margin directly.
Operator: Next, we’ll go to the line of Adrienne from Barclays. Please go ahead.
Adrienne Yih: Ernie, I guess, my question is on -- we’re hearing -- we had a wholesale report, and they talk about kind of the spring season and the end channel retail department stores buying down for the first half. How do you think about that in terms of availability for next year and the continuation of this kind of great buying environment? I know it’s always great. But it seems like there’s a disconnect between their plan right now and maybe what’s actually kind of being realized as we hear from the wholesalers. Thank you very much.
Ernie Herrman: Sure, Adrienne. It’s ironic that the two people sitting here with me, we’ve talked about this yesterday as we were kind of talking -- prepping for the call. Ironically, when we’re always saying there is a -- I don’t know, we’ve used all different types of words, phenomenal availability. I don’t know if we used plethora of stores [ph] out there. We haven’t used that one yet. But then we keep getting pleasantly surprised because the world -- how do I put this, a world that has a lot going on in terms of instability and trends in different retail around domestically and globally just continues to create more spill-off. Part of that is a lot of these companies that would like to -- they’re public companies. They cannot back off trying to push the envelope to grow. And so, for whatever reason, I understand how one might one season be able to cut back successfully. But over the course of multiple seasons and in total, with the 21,000 vendors, where it always ebbs and flows by vendor, there’s just always more. And I can’t picture in this environment where the sales projections are so erratic that there won’t be more. And I’ll go to one other key point, which is the e-com business. So the e-com business, we’ve talked about this before, Adrienne, not with just yourself but the group, is that e-com has created more spill-off. Well, the e-com, if you look at the volatility in e-com trends over the last 12 months, some of the -- especially in apparel, their forecasts have been way off from where they’re trending because I think the e-com business is a little bit more fickle. So I think that’s going to actually spill off more than what some of the more traditional brick-and-mortar vendors might be able to pull back on. So, I just see it staying at similar levels of tremendous availability.
John Klinger: Yes. And Ernie talked about the importance we have with our vendors. We add thousands of vendors every year. So again, we’re just becoming that more important to the marketplace.
Operator: Next, we’ll go to the line of Matthew from JPMorgan. Please go ahead.
Matthew Boss: So Ernie, with the continued strength in apparel and now it’s complemented by the acceleration in home, is there a way to speak to maybe the scale opportunity to drive market share across the wider demographic reach? And then, John, could you just help elaborate on pretax margin puts and takes to consider multiyear or maybe relative to the historical model flow-through if comps were to remain consistent going forward?
Ernie Herrman: Yes, great questions, Matt. Let me -- I’ll go to the scale of the model, specifically in apparel, and then I’ll let John take the other part. But the -- yes, we do look at it that way because also some of the competitors, specifically brick-and-mortar out there have not done a good job in apparel. And we have had a consistently pretty healthy apparel business that makes us feel like, again, market share opportunity, which is what you’re talking about. We have looked -- we’ve already started looking at our apparel plans for the spring season in identifying which pockets of apparel and which areas -- in which parts of the country, by the way, we think, have opportunities for us to almost take the market share from items and categories that aren’t being serviced by the competition anymore as much as they used to. So, I don’t want to give you the exact categories, but there’s a handful of categories, by the way, which happen to skew a little younger in our customer audience, so we get a bit of a win-win there, Matt, in terms of the categories we go after. But that is our objective, not just in home but to continue to exploit the apparel opportunity that’s out there. The other neat thing that’s happening is because of department store and specialty store and online business not being as healthy in apparel, some of those key brands are more interested in doing more additional SKUs with us than in the past. So, we’re getting wider assortments in some of the brands that we’ve always had, but we’re able to get wider assortments there, which also helps our treasure hunt and our ability to do more business there and keep the turns healthy. So John, on the...
John Klinger: Matt, so just to answer your second part of your question, I’d say we’re -- first of all, we’re very pleased to get back to really -- we’re forecasting to be beyond where we were in FY20 pretax profit margin. And again, that’s with approximately 100 basis points of more freight headwind. As I said earlier in the call, we’ve probably gotten back two-thirds of our freight from where we were. So, that really speaks to the performance of our merchandise margin versus FY20. But going forward, we are not going to be complacent. We’re always going to strive to improve our profitability. And again, the best way to improve our profitability is with our outsized sales and controlling our costs. So, that’s -- we’re laser-focused on that part of it.
Operator: Next, we’ll go to the line of Chuck from Gordon Haskett. Please go ahead.
Chuck Grom: Just wondering if you guys talk about the cadence of sales in the quarter, particularly in October, the temperatures were a bit higher nationally, and in some pockets actually been very warm. Just curious if there’s any discernible slowdown during this time period. And if you’ve seen that demand capture so far in November as temperatures have normalized?
John Klinger: Yes. So, the cadence of the quarter, August and September were strong. The October, when the warmer weather did set in, and I’ll add in there, the geopolitical events that are also taking place, we did see our trend a little bit of a drop from our August, September trend. But when we saw the weather cooled down, towards the end of October, we saw our sales trends return, so. And again, we’re -- our fourth quarter is off to a strong start, as we said in our -- not only our earnings release, but also our prepared remarks this morning.
Operator: Next, we’ll go to the line of Brooke from Goldman Sachs. Please go ahead.
Brooke Roach: Can you elaborate on your outlook for comp growth between traffic versus ticket as you look forward? Did you happen to see any shifts in ticket this quarter versus your expectations? And how much more opportunity do you see to continue with the pricing strategy that has been successful year-to-date? Thank you.
John Klinger: So, as far as what we saw in tickets, so again, our sales were driven by transactions. As expected, we did see a drop in our ticket that was offset by -- partially offset by additional units as we’ve seen historically. But again, the important thing is driving that top line through transactions we feel is a very healthy way for us to drive our business. And again, that ticket drop is due to mix. It’s mix related within category, so.
Ernie Herrman: And Brook, to remind you, we don’t drive -- and I think John started to touch on it. We don’t drive our ticket -- our average -- we don’t have a top-down strategy to drive our average ticket up or down. We let the -- it really starts at the buyer, merchandise manager levels when they’re saying these are the right values and having a good, better mix -- good, better, best mix. And it translates into, hey, these are the right values and it could, if there’s a hot category like John said and it happens to be a lower ticket, we’re going to not go after that because our market share gain is still the priority in driving sales and top line. In terms of your -- second part of your question, the opportunity on continuing the pricing strategy. Yes, we feel like we’re in a good place on that. I think that will be a consistent opportunity as we look forward. We kind of monitor it as we look -- as we go into first quarter of next year at this point. And I would say we’re positioned right where we would think we would be. And there’s a lot of -- there’s a combination in this environment with so much goods and we’re always wary of where other retailers are going to potentially promote. So again, we’re very selective on where we do it, but we have been seeing us the ability to continue to retail grab where appropriate, at the same time, actually buy a little better, and that’s where we get some of the merchandise margin mark-on benefit. So, again, feeling good about it, but we’re always watching it very, very balanced, I would say and surgically. John?
John Klinger: And look, our customers are telling us that their value perception of us remains very strong, which is -- again, is key.
Ernie Herrman: Yes. We do surveys and we get data on perception. Our perception right now is actually -- has improved on their perception of our values relative to others.
Operator: Next, we’ll go to the line of Alex from Morgan Stanley. Please go ahead.
Alex Straton: Congrats on a great quarter, guys. I wanted to focus on Marmaxx. Its operating margin has been at about 14% almost all year compared to slightly below that pre-COVID. So, I’m just wondering how do you think about that. Are we at peak, or are there still headwinds hurting that segment? And how do you think about it from here? Thanks a lot.
Ernie Herrman: I mean, yes, look, we’re very pleased about driving a 7 comp entirely through traffic. We’ve seen nice benefit from the freight. But look, we have -- we’re continuing to see this year. I mean we’ve had headwinds on supply chain and wage, so. But we feel really good about where we are, as far as a pretax profit margin being up 50 basis points versus last year.
Operator: Next, we’ll go to the line of Michael from Evercore ISI. Please go ahead.
Michael Binetti: Congrats on a nice quarter. Can you help us think about what flow-through will look like on the SG&A side as we think about potential for comp upside in the fourth quarter and maybe some thoughts on SG&A growth or leverage for next year? I know this year is largely defined by some structural labor issues that you’ve spoken about and then restoring incentive comp. But maybe you could help with some thoughts on the go-forward leverage point on SG&A as we kind of transition off of that kind of year this year into next year? And then, I have a follow-up.
John Klinger: I mean, so SG&A for the fourth quarter is primarily due to incremental store wage and payroll costs and higher incentive accruals. When we look out next year, while we haven’t completed our planning process, we would expect that we would not see the increases that we saw this year. And again, we’re not giving guidance, but that’s what we would expect. And I would say that as far as the leverage point, I would say that that’s unchanged from what we’ve said.
Michael Binetti: And as you look at -- I guess, thinking about Alex’s question, as you look at where HomeGoods margins are today, still below 2019 levels. I know there’s a lot of freight impacting that business, and you told us that’s still behind versus 2019 now, you don’t expect to get it all back. But if you take out freight in that business, do you still see opportunities to kind of get back to where you were in 2019, like you have at Marmaxx or maybe some thoughts on some of the differences in the structural I guess, the cost structure for that business as we kind of come out of some of these moving parts?
John Klinger: I mean, look, the cost structure, as we’ve said before is -- it has a higher freight rate. So, when we talk about getting back only two-thirds of the freight, HomeGoods is going to be a little bit more impacted on the freight line. But again, it’s similar -- the headwinds are similar when we talk about store wage and payroll costs and supply chain investments. So look, we’re really pleased with the improvements we’ve made to HomeGoods bottom line throughout the year. And looking out, we’re focused on continuing to drive that bottom line.
Operator: Next, we’ll go to the line of Dana from Telsey Advisory Group. Please go ahead.
Dana Telsey: Congratulations on the nice results. As we continue to hear about department stores ordering spring down even in some instances, down high single digits. How do you see your merchandising opportunity to take on better brands going forward? And do you see this reduction in orders from other wholesale accounts as a market share tailwind for you to gain share? Thank you.
Ernie Herrman: Yes. Dana, that was a classic -- right in the sweet spot of a merchant question right there. Strategically, I would say, yes and yes. The reduction and their ordering just -- it’s a little similar to what we spoke about earlier, where we’re becoming a little more important to most of the brands. And I think with a lot of them talking about cutting back, I think they’re going to look to us as a way to kind of even off that up and down roller coaster ride, which they don’t want to typically see in their business. So, we buy in a lot of different ways. And our teams right now and many of those pockets of businesses are in talks with some of these vendors to figure out how to do what’s a mutually beneficial, as we actually said in the script, what’s been really neat to see, ever since -- it was true prior to COVID, but I think even more so post-COVID, that our buyers are great at figuring out the mutually beneficial way to work with a vendor. And the vendors love our buyers for that reason because we figure out opportunities that are good for them and good for us. And that’s -- this is a classic case where this is happening to many pockets of business around it. We think it better positions us. And it also -- we’re allowed to kind of more tailor it to the brands that we think work to balance off our good, better, best, which I think is also what you’re touching on there, indirectly.
Dana Telsey: Do you see new category opportunities too, Ernie?
Ernie Herrman: Yes. I think -- well, probably a couple new or more of expanding ones that have been not nearly as big as they could have been. So, what we see probably -- yes, we always see new ones. But Dana, what we’re seeing now is we’ve had some -- again, we don’t talk publicly -- we don’t announce to competition what are really helped driving our comps because obviously, they’re very healthy. But what we’re seeing is there’s a few categories that have been so good. We are just looking at now in terms of moving even more staff into them, how to even explode them to a much larger degree. And that’s how we’re -- so I would say that is more of what’s going on right now. It’s a little what you’re talking about, but it’s more about these big families of business that we are really driving increases with. We think we can do even more, by making sure we have the right buying team as I can get market coverage. And by the way, again, I mentioned it earlier on the call, our planning teams are essential. When we explore a category in a department, they’re the ones that help the store, and the stores get it all set up appropriately. They are the ones that really help the stores and the buyers get the goods to the stores in the right manner, to actually drive those sales. So, we have -- two or three categories at a high level, I’m thinking of that are going to be huge impact for us for next year. Again, ones we’re already doing, but nearly not up to the degree we can drive. So, big opportunities.
Operator: Next, we’ll go to the line of Simeon from BMO Capital Markets. Please go ahead.
Simeon Siegel: I just wanted to clarify a prior point, if I could. The HomeGoods e-com costs that you called out, were those costs to close the business in more onetime or were they an impact from losing the volume? I think you had suggested it was the former, but I wanted to confirm that. Because if so, excluding those costs, wasn’t HomeGoods margins already up pretty nicely, weren’t they above pre-pandemic? So I just wanted to check on that. And if that is the case, any reason the HomeGoods margin shouldn’t maintain this underlying expansion? Thank you.
Ernie Herrman: Yes. So the costs associated with that were mainly cost to shut the business down. And moving forward, we would expect next year that this would be slightly accretive. I mean, don’t forget, the homegoods.com was not a big portion of our overall business, so. But yes, the pace that it is, it would be accretive.
Simeon Siegel: And then, Ernie, any color on where the customer traffic is coming from, any general views on -- again, it’s hard to do, but segmenting the traffic growth between new and returning customers?
Ernie Herrman: Yes, very broad. In fact, we talk about those. So one of the things that we’re very bullish about is how broadly and diversified our traffic is from income and age groups, and it’s very balanced where it’s been. Obviously, we’ve had a greater percent of younger customers growing over the last, I don’t know, three to five years, I guess, you’d say. But of recent, we’re very happy with how broad the customer traffic draw has been.
John Klinger: Yes. We believe we’re attracting newer customers to our business, just generally speaking.
Ernie Herrman: Yes, which I think you were just asking about as well. So very -- also a great barometer that we’re reflecting the younger demos, but in balance, it’s grown, but it’s all very balanced by group and income demographics.
Operator: And for the final question today, we’ll go to the line of Ed from Piper Sandler. Please go ahead.
Ed Yruma: It seems like you guys have been expanding square footage in category like beauty. It seems like that’s getting some traction. I would love to just kind of think broadly about the opportunity there, if you’ve been kind of making some of those explosions, as you’ve called them within the category. And kind of what the relationship has been like with those vendors, given that that hasn’t historically been an area of focus for off-price? Thanks.
Ernie Herrman: Ed, you guys are full with good merchant questions and observations today. This is very good. Yes. That’s a good example. You can visibly see it, obviously, right? And what happens in a situation like that is we do show -- it’s not typical off-price. But as you know, if you walk that area, we’re showing very strong values and an eclectic mix and one that’s changing its classic treasure hunt. And we have a few of those type of businesses around the store. That’s one that you’ve probably walked in and seen some new fixturing, et cetera. And so, you are touching on the type of business where we really go after it. Those vendor relationships are great. We have buying teams in the beauty area that have really worked well with the market. And they’re always looking for new items and/or SKUs and/or categories within that whole family of business, to continue to do more. I won’t talk about the couple of others because we have others within the store that we can explode as well and go after very aggressively. So, I hope that answers your question, though. We have a lot. This is how we look where there’s demand and where we can really take market share and offer tremendous value in brands, and that is one of them.
Operator: And that was our final question for today.
Ernie Herrman: Okay. Ivy, thank you. Thank you all for joining us today. And we look forward to updating you again on our fourth quarter earnings call in February. Everybody, take care. Bye.
John Klinger: Thank you.
Operator: Ladies and gentlemen, that concludes your conference call for today. You may all disconnect, and thank you all for participating.